Operator: Good morning, and welcome to GAP's Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' presentation, we will open the floor for questions and at that time, instructions will be given if you would like to ask any question. It is now my pleasure to turn the call over to GAP's Investor Relations team. Please go ahead.
Maria Barona: Thank you, and welcome to the Grupo Aeroportuario del Pacifico's First Quarter 2023 Conference Call. Presenting from the company today, we welcome Mr. Raul Revuelta, GAP's Chief Executive Officer; and Mr. Saul Villarreal, Chief Financial Officer. Please be advised that forward-looking statements may be made during this conference call. These do not account for future economic circumstances, industry conditions, the company's future performance or financial results. As such, statements made are based on several assumptions and factors that could change causing actual results to materially differ from the current expectations. For a complete note on forward-looking statements, please refer to the quarterly report that was issued previously. At this point, I would like to turn the call over to Mr. Revuelta for his opening remarks. Please go ahead, sir.
Raul Revuelta: Thank you, Maria. Hello, everyone, and welcome. This year has started of a strong and we delivered a great performance across key operational and financial metrics. The number of passengers this quarter was almost 16 million passengers, an increase of nearly 24% compared to 2022. Supporting these passenger traffic growth was the solid demand experienced at the Montego Bay, Guadalajara and Puerto Vallarta airports, as well as the greatest number of routes and frequencies across our network. Note that for a comparison purpose, when we look at January and February of 2022, the impact of the Omicron variant did affect passenger traffic, which was not the case in 2023. As a result, aeronautical revenues increased by 31%, driven by a passengers traffic recovery throughout GAP's network, as well as the maximum tariff increases, which fulfill almost 99% of the maximum tariff in our Mexican airports. It is important to note, that the benefit of the Jamaican airport consolidation is not fully reflected here because of the effect of appreciation of Mexican pesos of 9% over US dollar, which impacts the increase in revenues. Jamaican airports represented 15% total increase in aeronautical revenues. Non-aeronautical revenues rose by 26%, most of the increase came from food and beverage, retail operations, leasing of space and duty-free. As we have mentioned in previous calls, we renegotiated the terms of several contracts, which resulted in financial condition that were more positive for the company. The only business line that continues to lag is advertising with a minus 24% versus 2019. However, comparing to 2022, it increased 74%. There are several strategies that we are working on to reach and surpass 2019 revenue, including the further development of digital advertising, using the ample airport spaces to enhance brand experience, as well as the use of marketing showrooms. As we mentioned before, the appreciation of Mexican peso is affecting the non-aeronautical revenues in the contracts that are denominated in US dollars. EBITDA reached MXN4.7 billion for the quarter, with an EBITDA margin of around 72%. This was the result of the outstanding passenger traffic recovery, higher tariff and solid commercial revenues, that were partially offset by the 28% increase in cost of service. We have worked hard to maintain our cost control policy, but we are facing the changes in the labor law that not only affects the overall costs for salaries, but also the contracts that involves personnel, such as janitorial, security and maintenance. Also, we expect some higher costs further down the line in accordance with the airfield terminal expansion in addition to the inflationary effects. In financial performance, cash and cash equivalents increased by almost 12% reaching a total of MXN18.9 billion. The debt figure reached MXN40.4 billion in the first quarter due to the drawdown of MXN6.4 billion. This included a credit facility from [CD Dynamics] (ph) of MXN1 billion, as well as the issuance of another two tranches of labor debt bonds in the Mexican market for a total of MXN5.4 billion. The proceeds will be allocated toward mandatory CapEx for this year and a portion will be used to pay the bond maturing in June of MXN6,200 million. These were our third and four labor bonds that are sustainability linked bonds, evidence of our commitment to sustainability and specifically directed towards reducing carbon emissions. We look forward to further updating this market on our ESG initiatives and continue integrating this philosophy into our operational infrastructure projects. In accordance with these figures, we continue to maintain healthy leverage level reaching a net debt to EBITDA ratio of 1.3 times for the trailing 12 months, thus complying with all our debt covenants. CapEx continued to be carried out in accordance with the committed Master Development Program, as well as the commercial investments. The deployment has been and will be our biggest challenge in the five year period, because of the size of the investment and cost increase due to a higher inflation. We have made the highest investment for a single quarter since the beginning of our committed concession reaching a total of MXN2.9 billion. Moving on to another topic, I want to mention that our ordinary and extraordinary shareholder meeting took place last week, where a dividend payment of MXN14.84 per outstanding share was approved. At the meeting, the creation of a sustainability committee was also approved, which put us in the right track to fulfill our strategy in Strategy Sustainability Plan 2030. Regarding the ratification or designation of the persons that will serve as independent members of the company Board of Directors designated by the Series B, as well as the designation of the Independent Member of the Nomination and Compensation Committee, both points were withdrawn, as mentioned in shareholders meeting. In order to have a new ordinary shareholder meeting that will be held on May 22, that was announced yesterday. Moving on, in the first quarter of 2023, we discussed an initiative presented to the Mexican Congress to reform various federal laws enacted by the Mexican President. This will provide among other, additional capacity for the Mexican government to revoke concessions and permits. It also provides a mechanism to speed up private property expropriation by the state. It is not clear whether the Congress will pass this bill, and if it passes, the impact it will have on the Mexican economy and the company's operations. This could violate fundamental rights established in the constitution and international treaties, such as the right to equality, the warranty of [indiscernible] activity of the law and the freedom of trade. We will keep an eye on the deal and inform any relevant updates to our shareholders. To conclude, back in March, we carried out a very successful GAP Day at the New York Stock Exchange. I want to give a special thanks to all the analysts and investors that attended, as well as to our team who put it together. It was a great opportunity for us to catch up with all our colleagues and we aim to do the next one at one of our airport locations. At this point, that is for my remarks. I will ask the operator to please open the floor for your questions.
Operator: [Operator Instructions] We'll take our first question from Rodolfo Ramos with Bradesco BBI. Please go ahead.
Rodolfo Ramos: Thank you for taking my question, and good morning. Just a couple on my side. The first one is on traffic. I mean, you had a strong start of the year running at a rate higher than you guided in your Investor Day. So, just wanted to see how are you looking out for the rest of the year and what kind of upside you see as a comparable base is started getting tougher that you see in the rest of the year. And then my second question was just on a follow-up on your comments on this reform and two reforms that actually is one of the one you mentioned. And just wanted to just to make sure I mean by looking at the tax, it seems that this wouldn't be -- this will only apply to new concessions. So, just wanted to confirm what is your view, any do you foresee, I mean, this is something that shouldn't impact on your next year's MDP negotiation, but just wanted to see if that could be the case. And as a second part of this question is, if you see this -- the reform that was presented earlier when the [indiscernible] invest was removed, whether you see this actually coming through and Mexico regaining category one as a result? Thank you.
Raul Revuelta: Thank you, Rodolfo. This is Raul. On the first question related with the traffic. Yes, we are having a really strong beginning on the first quarter. It is important to take into account that the core, the comparison basis will be tougher in the coming months. We are still being really positive in terms of traditional feeds that we're going to see on the market. We are still seeing a number that will be a little bit below the double-digit, but we still see growth -- important growth in our airports. But in terms of, again, the base of comparison, we have some airports as well Guadalajara where we're going to have great -- the first half of the year will be really great performer, just based of additional seats for sure, but also taking account the base of comparison. And the other hand, we have for example Tijuana, that we are seeing additional seats. We are seeing a robust demand, but we are beginning to see a tougher comparison base that will in some way begin to move the growth of that airport more to, I will say, lower double-digit rather than the higher double-digit that we have seen in the past months or even years for the case of Tijuana. The other fact that we must keep an eye on is, if a recession will come in place in somewhere in Mexican economy and the US economy, today we don't have, I will say, complete data to understand if this is going to happen or it's going to be a soft landing or how going to be that, but I mean, we need to really keep an eye on what will happen in the second half of this year. In terms of the reform that was, the bill that presented by the Mexican President to the Congress, I will say that in terms of the Mexican law, the retroactivity of the law is not allowed. Saying in other words, in theory, if this change of the law will now apply to new concessions, where it's important to know that the retroactivity of a law, you need to fight it with a judge. It's nothing that happens in automatically way. You need to ask for or litigate for that retroactivity. So it's difficult going further in which could be the impact or not of these reforms, because, first, has not discussed yet. Second, really important information is that, the ordinary period of the Congress will end in the last day of April and the next period of the Congress going to be on September. So, I will say there's going to be enough time to discuss with the Congressman, to discuss and trying to understand in a much better way this reform, I will say, in the coming months. So, in my personal view, we have enough time to first understand and to second, try to act in any point that in some way could affect the concession. It's difficult to understand and to know if this could have some or not impact in the next MDP negotiation. I will say that the first example of this possible impact is going to happen in the real start of negotiation and in the middle of the negotiation on this year that is [indiscernible]. And lastly, well in the relation with the cabotage, we have to just to watch remove it in the last version of the -- on the change of the law [indiscernible], for sure it was something really important for get the category one, but it will be a part of it when the Mexican government has to implement different process related to this law. So, in our personal view, we continue to see that the category one going to happen in some moment between the third and fourth quarter of the year, around that. But we don't see any kind of, I will say, additional services or additional routes, either with the category -- with the recovery of the category one in the last half of the year, because the airlines need at least six months to earn and put the planes to -- I will say, to get into a new market. So, we're going to begin to see positive results in terms of additional seats or additional capacity, put individuals from the Mexican airlines on the first half of the coming year.
Rodolfo Ramos: Okay. Very clear, Raul. Thank you very much.
Operator: We'll take our next question from Fernanda Recchia with BTG Pactual. Please go ahead.
Fernanda Recchia: Hi, good morning, everyone, and thank you for taking my question. I have two on my side. The first one is actually a follow-up on the previous question regarding traffic trends. So, if I understood correctly, looking for a common Q, we'll still see supportive traffic trends, which showed actually we will surpass your guidance that you provide of increasing by 6% or 8% on a year-over-year basis, because if we look at Q1, you already is on 6% for the year. So just wanted to understand what has been the main drivers of better than expected traffic? If there is any nearshoring trend that has been suppressing -- that has been bringing some positive news on traffic? And second, on Jamaica, I just wanted to hear an update regarding the rebalancing. How is the litigation and when do you expect to have a resolution? Thank you.
Raul Revuelta: Thank you, Fernanda. This is Raul. Yes, we know, as you remember, as our guidance were built from the number of seats that were published for the airlines and the slot that we in some way were authorized by the airports at the moment that we put in place the guidance. For sure in this moment, for this first quarter, we have, I will say, some kind of easy comparisons in some airports at Montego Bay, at Kingston, at even Guadalajara airport. So, I will say that it's early to think in more our guidance, but for sure at the half of the year we will recalculate all the numbers, see the trend on the number of additional slots, additional seats, the time of the delivery of fleet, and then we could move forward with that information to in some way, in the case that we will need to change our guidance. For the moment, we are still thinking that the guidance is going to be, I mean -- or the total passengers number at the end of the year going around -- going to be around that, between six or even eight, between six to eight on total passengers for the full year.
Saul Villarreal: Hi, Fernanda. This is Saul. Regarding your question with the rebalancing process in Jamaica, we are working with the team of the -- designated by the government, and we are planning to close by the end of June, is the best estimation. As we have mentioned before in some calls, any kind of adjustment in the Laurentian lawsuit should have the approval from the cabinet, so that's different than in Mexico. So it represents a huge effort to socialize and revise deeper the figures in order to have the approval from the cabinet. So, today I couldn't announce more.
Raul Revuelta: And just reviewing the part of a -- [indiscernible] to Fernanda. We have some kind of nearshoring effect today on the traffic. It's really early to understand that. What we are seeing in some of our airports or around of our airports is -- are really having, I mean, real estate on the industrial parks in Guadalajara, Bajio, Aguascalientes and in Tijuana. So, I will say that are the first sites of what could be the nearshoring effect on coming years. But again, it's really early to understand the size of the effect and if we are beginning to see some part of that effect in somewhere in the passengers.
Fernanda Recchia: Great. Thank you. Have a nice day.
Operator: We'll take our next question from Alberto Valerio with UBS. Please go ahead.
Alberto Valerio: Hi. Thank you for taking my questions. I'd like to go deeper and see how the pass through entity which I remember we always had revision and in the peak reached positive tariffs, we never see tariffs drop and for this next round of the discussions, we have seen the press in Mexico pushing a little bit for tariffs and I will say also government which these movement of this reform view, that it is the concept this moment. How do you see the next MDP could do the negotiations? The first one surprises for the large amount of CapEx, do you think you can see the same amount of CapEx or even higher for the next one, and do we also see tariff increase for the next [indiscernible] revision in the next rounds? And the last one, [indiscernible] absolutely this year with the current government for the next year, GAP should take especially the current government or the next one? Thank you.
Raul Revuelta: Thank you, Alberto. I mean, talking about the Master Development Plans renegotiation, I will say that, first, in terms of the CapEx, we have to review our last Master Plans, we want to see that the number of the CapEx per passenger is almost, I would say, in the same level. I mean, you'll need to abstract some one-time CapEx as could be the second runway of Guadalajara. So, in general terms, we're going to see a master plan that's going to be with in government in the same line of investment per passenger that we have seen in the past. For sure the total number we're going to see an increase on CapEx in absolute numbers. Because we are -- I mean, just in with numbers. On the last negotiation we begin with 48 million passengers. If everything continues in the same trend, we're going to be around the 60 million passengers for the case of Mexico at the end of the five-year period. Just that increase we may have the need to deploy additional CapEx for maintaining the quality service of the service and all the needs in terms of quality of service that are included in the concession. So, we're going to see a Master Plan that will be higher in CapEx than the one that is running right now. In terms of tariff, I will say that today it's difficult and is and already to talk about that. But as we mentioned in our GAP Day management presentation, we are more in the flat to minus 5% decrease on tariffs. But again, thirdly, we need to understand which could have either discount rate, how going to be the market, how going to close the number of passengers and how it moves the forecast for the coming year. And it's early, but we think that the negotiation is going to be around that from flat to minus 5% for the time being. All [indiscernible] always happened the same, very subtle, that is happening right now, then GAMP and after GAPB. For the case of GAP, we will officially present the master plan to the authority in June of 2024. That will be with this administration. So, we're going to have, I will say, the time really short or really tight to close the negotiation, because in all the years what normally happens is that, negotiation rose from June, when you made your first filing to the authority until the end of December, you will almost take like six months. On the next year, the change on the government is going to happen on September 30, at the end of September. So, we're going to ask enough time, but really tight time trying to close the master plan with this government. Saying that, it is important to note, that the master plans has been negotiated with all the different governments, sent from left to right and all have to restrict completely respect the model methodology and framework and the discussion has been completely technical discussion. For the moment, we are still seeing that that's going to be the way. So, with this government or with the new government, the technical guys, we think that we'll continue in the Ministry of Communications and Transportation. So, at least with the information that we have, we are not foreseeing any major changes in the way and the technology that the government has used in the past for the state of the master plan.
Alberto Valerio: Fantastic. Very clear. [indiscernible].
Raul Revuelta: Thank you, Alberto.
Operator: We'll take our next question from Filipe Nielsen with Citi. Please go ahead.
Filipe Nielsen: Hi guys, good morning, or afternoon. And thanks for taking my questions. I have two questions from my side. The first one would be, what are you seeing in terms of hotel and resorts operation expansion in your regions, like the regions where you operate, how do you see the level of activity in terms of hotels and resorts expanding? And the second one would be, if you see any opportunities for establishing industrial parks at or near your constructions in by you or elsewhere, given more intense manufacturing activities? Thank you.
Saul Villarreal: Hi, Filipe. Well, what we have seen close to our operations in our airport is, it's clear that the economy in Mexico is improving due to the nearshoring, due to the automotive industry, due to the different activity in Guadalajara related with that we call Silicon Valley, because the number of companies related with this activity. So, we are very positive in that side. We believe that -- we think that the business passengers will continue growing. We haven't recovered the level we have had in Guadalajara. But we believe that in general the activity will be expanding in the following years. Obviously, the nearshoring will be improving and boost in the passenger traffic. It is important to mention that the nearshoring and the increase of Industrial Park activity is growing in five of our 12 airports in Mexico, which is very, very important.
Raul Revuelta : And, this is Raul, Filipe. Let me complement the answer of Saul. I think that it is really important and more for all our investors and analysts outside Mexico to perfectly understand that the growth of the Mexican GDP is really or completely different between regions. So, on the center of the country where we have Bajio, Guanajuato or Jalisco, the place where is Guadalajara, we have more than 25 years or 30 years that the GDP has been almost the double growth, a double growth versus the national growth on the GDP. We are seeing on this area and in Tijuana for sure, a great expansion in terms of industrial parks, real estate, additional new foreign investments that come mainly for the nearshoring. So, we really continue really positive on that. We think that is happening. So one of the key factors to in some way have a better understanding of what's going to happen in coming years and what are the trends is to continue to see what is happening in terms of state GDP and the creation of new employment in the different regions. For instance, Jalisco, the state where is Guadalajara airport was on this first quarter or in the last, sorry, in the first -- in the last half of the year of 2022, it was the number one state in terms of creation of new employment. So, I think that the dynamic of the current in Mexico is changing very fast or is changing in a really different pace depending the areas of the country. In terms of the second question, if we have any opportunity to establish industrial park near to the construction. I think that we'll continue to see different opportunities. As always, we will analyze the opportunities. But one of the key parts to understand with this company is that we are really -- we have a very disciplined to all the indebt in opportunities that we are creating for the value of the company. So, I will say that, yes, we have reviewed different opportunities in some of our airports for thinking some kind of additional development of real estate and industrial parks, but always it will pass through this review of how accretive of value it could be for the company. So, to conclude, yes, we will review different opportunities, but again, we will keep our discipline of investment to only bring opportunities that create value to our company.
Filipe Nielsen: Great. Thank you very much, guys. Very clear.
Operator: And we'll take our next question from Anton Mortenkotter with GBM. Please go ahead.
Anton Mortenkotter: Hello, guys. Thank you for taking my question, and congrats on your results. I was just wondering if you could provide a breakdown on the MXN3 billion CapEx deployment during the quarter? And if you could share is your expectations on your investments on the commercial front are the same as you shared recently or if there is anything that is moving on that path?
Raul Revuelta: Thank you, Antoine. This is Raul. I will begin with -- I mean in terms of the CapEx deployed during the quarter, let me begin with which are the main buildings or infrastructure that we are developing right now. We have the second runway of Guadalajara that is happening and it continues the development and we are ready for operation at the end of the year. But also, we are right now building the second terminal in Vallarta, that is also a really be an important investment for the company in size and for sure in the impact on CapEx. And the third big project that has happened on the quarter is related with the land acquisition for the future reserve for the Guadalajara airport. So, yes, in that regard, I think we have invested around MXN1.4 billion in the Guadalajara airport for land and we are investing mainly in Puerto Vallarta for the new terminal and the second runway in Guadalajara. So these are the main projects. Indeed, in this quarter, we reached the highest level of investment historically in the company with almost MXN3 billion in one quarter. So, the most important thing is that, the land reserve that we are -- we already acquired, which is very, very important for future growth in the Guadalajara airport. And Antoine, regarding your second question, we couldn't hear it very well. Can you repeat it please?
Anton Mortenkotter: Just to understand if the [indiscernible] of your investments, I mean, your expectations on the deliveries of your commercial diversification activities has changed or is anything just going as expected?
Raul Revuelta: Well, Antoine, we continue the same line. We are developing additional commercial areas in Guadalajara. With our [indiscernible] going to be get into operations and again at the summer of this year. Also in terms of size, we just finished the increase of commercial areas in Los Cabos airport. Also for sure we are developing the hotel in Guadalajara and will be ready for operation on the first quarter of 2024. But in general terms, we continue in the same line of the non-aeronautical revenues, trying to bring additional square meters with better conditions and better experience for our passengers, that’s going to be the best way to increase our non-aeronautical revenue. For sure, we are working really, really hard to be more efficient as possible in the lines that are directly operated by GAP, at the convenience stores or the VIP lounges or the parking lot. But in general terms, I would say that we continue in the same line of the development of the commercial non-aeronautical revenues in our airports, mainly in the same business lines. But as I say, we're always going to try to review different opportunities, different experience for our passengers and if the returns is the correct one, it's going to be the kind of business lines that we will bring to the company.
Anton Mortenkotter: That's pretty clear. I mean, if I may, I just have a quick another question, just with the increase in tariffs really during the quarter, what level of your maximum tariff did you reach?
Saul Villarreal: Almost 99.6%. Really close to the 100%.
Anton Mortenkotter: Perfect. Thank you guys a lot.
Raul Revuelta: Thank you.
Operator: [Operator Instructions] While we wait, we will take the webcast questions. I will turn the call over to management.
Maria Barona: Thank you, Nikki. We have two questions. The first one is from Roddy Seymour from Brown Advisory. The first one is, is there an update on the FAA timeline for review their rating downgrade for Mexico?
Raul Revuelta: As we said, we continue seeing that is going to be between the third and fourth quarter of this year, the upgrade. But we will begin to see impact on additional routes to our efforts from the Mexican airlines in the first half of the coming year.
Maria Barona: Thank you, Raul. And the next one, where could non-aeronautical revenues per passenger reach in the next five years?
Raul Revuelta: Good question, because I mean for sure we will try to expand as possible the ratio, but will for sure depend on how big or how the amount of additional square meters that we could bring to the table in the next negotiation. For sure, we will have the effect of the new Puerto Vallarta terminal building that's going to be a great opportunity to reaffirm all the experience in terms of commercial activities in the airport. I mean, the best way to understand that we have a great opportunity to expand that and when you compare with the ratio for Los Cabos airport and Puerto Vallarta airport, you will have -- that we have a big gap to in some way to improve Puerto Vallarta airport commercial revenues and it will come from terminal two. Also the additional square meters from Guadalajara, the hotel, the new hangers, the new food and beverage area will give us a big boost on commercial room, but again, it's going to be a key factors to perfectly understand how is going to be the increase on the square meters for the next period of five years, but I mean as a roughly number, we're going to be between MXN110 to MXN120. I mean there is a lot of variables to see what's going to be the next five years, but it will be some number in that area.
Maria Barona: Thank you, Raul. And then the last one that we have in the webcast is from Mauricio Buitrago from AM Advisors. Can you please repeat your guidance on EBITDA and CapEx for this year, please?
Saul Villarreal : Yes. Hi, Mauricio. The EBITDA will be growing in the range of 10% to 12% comparing to 2022, and the EBITDA margin will be close to the 70%. In terms of CapEx, our target is to reach MXN10.2 billion at the end of the year.
Maria Barona: Thank you, Saul. I believe that we can pass again the call to Nikki.
Operator: Thank you. And we are showing one more question over the phone, comes from Guilherme Mendes with JP Morgan. Please go ahead.
Guilherme Mendes: Good morning, Saul, Raul. Thanks for taking my question. A quick follow-up on the cost front. You mentioned about some pressure on costs going forward and think about your EBITDA margin guidance that you just mentioned about 70% compared to the 72% that you posted in the first quarter. So, what kind of inflation pressure or what of kind of cost pressures could we see going forward? Is that something we should already see on the second quarter or more towards the second half of the year? Thank you.
Raul Revuelta: Hi, Guilherme. Well, there are several factors. We talked about in terms of salaries, yes, we will have additional headcount in 2023. We have also have to consider the change in law in terms of additional vacations or holidays for employees. We have to consider the impact in the social contributions regarding the employees that the general effect in salaries which affects also in terms of security, in terms of clearance, in terms of maintenance. So, in general terms, the change in law will be affecting because, you're right, there is something regarding the inflation, but we have also to consider the effect that we will have 100% operation the new terminal in Tijuana. We opened it last year in May, that was operating full by the last quarter of the year. For 2023, we will have the full operation. That implies additional costs. As we have mentioned before, every time we expanded terminals, we expanded the air side, we have to consider the new maintenance. So, in general terms, that's the reason that it will be affecting the EBITDA margin. Also we have to consider the effect of MBJ in terms of the concession fees. We have a credit line regarding the additional concession fee that was applied in 2022, and for 2023 will be -- there is no credit lines, so we will have to pay full the additional concession fees. Those are the main effects. Obviously we have different effects in each airport. But in general, that's the main reason.
Guilherme Mendes: Very clear. Thank you very much. Have a good day.
Raul Revuelta : Thank you very much.
Maria Barona: And we have a last question on the webcast from Ariana Catalan from Santander. Raul, when do you expect to deliver the second terminal in Puerto Vallarta?
Raul Revuelta : Hi, Ariana. We expect the new jets in -- we'll be ready for operations in December of 2024. So, any effect for instance in commercial revenue, it will now be in 2025, because I mean the idea is that we will operate just the last weeks of December.
Maria Barona: Thank you, Raul. And so, there is no any additional questions, so we will go over for the final remarks.
Raul Revuelta: Thank you, everyone, again, for joining us today with our first quarter results conference. The team remains available to answer any questions that you may have. Think of GAP the rest of today. Thank you very much.
Operator: And this does conclude today's program. Thank you for your participation. You may disconnect at any time.